Markus Heidler: Ladies and gentlemen, welcome to our analyst conference for the first half 2025. Before we start, 2 remarks from my side. First one, this analyst conference will be recorded and afterwards, published on our website. The second one, this is an analyst conference. The press is very welcome to listen, but we will only allow questions from participants of the capital market. And without further ado, I'd like to hand over to you, Gunnar.
Gunnar Groebler: Well, thank you very much, Markus. Good morning, everybody, in this call. Very happy to have you all here and to report to you the first half of this year for Salzgitter -- for the Salzgitter Group. And as usually, we'd like to start with the occupational safety. You know that this is a very sort of important topic for all of us. And I'm very pleased to report that we have started well into this year compared to previous years. Hence, we are well underway to further reduce the LTIF quota. The target remains to have 0 accidents and also all activities ongoing that we also reported on the Annual General Meeting remain in place and remain under full focus to further reduce the LTIF also going forward. Now looking at the market environment, we, of course, see that the U.S. tariff policy has further developed now with the overall quota of 15%. However, steel remains at 50%. There is an open question still to be answered between the negotiating parties, whether there's a quota, tax-free quota, to be implemented, but to be seen. So certainly, nothing that we are, as industry, very happy about. We at Salzgitter are not that much hurt by this tariff given that our export into the U.S. is limited also from the pipe business. There's limited downside risk that we see in that area. But however, of course, it adds to the overall uncertainty that we see in the market. China is, of course, still a topic for us. We see that the export industry is under massive pressure. We see also further inflows of Chinese steel into Europe. Actually, '26 -- '25 has been so far the record year in terms of export into Europe. Back since 1990, we haven't seen figures that high compared to that. Staying with Germany, of course, the trade disputes that I just talked about are hitting us in times where also the demand is very low. So we are sort of hit from both ends. Of course, we see, with some positive notion, the fiscal policy that should improve growth in the steel sector as of 2026. And certainly, the budget discussion, the national budget discussion now in September should also give some more clarity on potential cost reduction on the electricity side. Let's see where the German government will land that discussion. Looking at EU, steel demand is low, same picture as in Germany. And the import remains high. We see more than 30% of the total volume being imported, not only China, but also other countries, but also here, record high numbers. However, the political and regulatory discussion we are seeing, and we get back to that at a later chart, is, of course, to some extent, positive and should help us to reduce imports going forward. Stimulus through construction and defense is a bit the same like in Germany. We see this a potential demand increase as of '26. We don't see this hitting the ground in '25. So we are waiting for this in '26 and from there onwards. Intensive discussions when it comes to the Carbon Border Adjustment Mechanism, the CBAM, given that it has to be implemented in '26. So a lot of work has to be done in Brussels in the second half, especially Q4 '25, and also a high debate right now on the trade instruments, the safeguards, which also needs to be replaced then in '26. So also here a lot of political debate we're having, both in Brussels, but also in Berlin. Raw material energy prices, we have seen a recent increase on the iron ore side, which has fallen below $100 per tonne, now being above $100 or $100 and a bit north of that. Let's see where sort of that stabilizes. Coking coal, still below $200, relatively stable there with daily fluctuation, but that's more sort of, at least to our read, this is not the physical trade, but rather the financial trade that gives this kind of fluctuation structurally below $200. Energy prices relatively stable at EUR 90 per megawatt hour in Germany. And so is natural gas, has come down quite substantially after the winter increase and now relatively stable there as well. Also, of course, driven by the low industrial demand overall. Looking at steel, we have seen steel prices coming down. I'm looking at the left side, Northern Europe. Steel prices went up in '25 until late April, beginning of May, and then went down again. We've seen EUR 540, EUR 535 per tonne of hot-rolled coil. Recently, a pickup. Our read is this is already expectation of the market when it comes to safeguards in CBAM given that this will kick in as of beginning of '26, and potentially also reflecting the pickup that we have seen in China lately. If you look at the right side, the yellow -- the orange curve, China has had a steel price increase since July '25. So our read here is, in preparation of the 2 sessions of the NPC and the CPPCC in March next year, there has been some guidance that China will look to overcapacity that they have themselves and try to balance the overcapacity question with sustainability. So certainly, at least a hint that overcapacity is addressed also then in March next year from the NPC. So that's certainly a positive trend, but further to be looked at whether that is stabilizing or not. So zooming in on Salzgitter, first half '25 vis-a-vis first half of '24, going through the numbers quickly. Birgit will go through them in more detail. Crude steel production, of course, the low production due to low demand, but also maintenance work on our Blast Furnace C that has been carried out in the first half of '25, hence, the difference of 400,000 tonnes first half '25 vis-a-vis '24. External sales have come down quite considerably. This is predominantly due to prices. And then basically, that trickles down also on the following numbers. We should be aware of that the results include Aurubis at a level of EUR 71 million, slightly above last year's numbers that were at EUR 70.5 million, if I recall correctly. So slightly above. That is included here, of course. And also a big number, and Birgit will also elaborate further on that, is the reporting date related valuation of derivatives, which is included here at roughly minus EUR 80 million vis-a-vis a plus EUR 10 million in the first half of '24. So also that is part of the numbers. What we should -- it's not on that slide, but we should also mention is that our equity ratio remains very healthy at a level of 42.2%. So that is perhaps worth mentioning on that slide as well. Looking at the different business units. In the first half, of course, steel production has seen the low level of demand. Prices -- or revenues that were flat, I should say, have stabilized in the second quarter slightly, but sales and earnings down due to the low prices, as I just mentioned. Steel Processing is hit by weak demand on heavy plate, very weak demand also in terms of shift in qualities down to the lower grades. And we have seen market price decline also now towards the middle of this year. So hard hit on heavy plate. Line pipe demand is stable. It has not dropped. Also exports into the U.S. have not been canceled. So of course, at risk, but not canceled yet. On the precision tubes side, low demand from core segments, especially automotive. And we should not forget that here in the Steel Processing, we had the deconsolidation of the stainless steel tubes from first half of '24 to this first half '25. This is, in terms of sales, roughly EUR 170 million reduction due to the deconsolidation. Trading has recovered compared to last year. So the turnaround is well underway. We are achieving good results on the improvement measures that we have implemented. So on that end, good. However, of course, we see an overall European weak demand on stock keeping trade, hence, also there a decline. International trade has also recently come down with the uncertainty on the U.S. tax discussion, however, stabilized otherwise. Technology, positive news from KHS. We foresee a record year for KHS again. So with an EBT well above EUR 100 million for this year. Order intake is also significantly above last year. Our Plasmax technology is really kicking off, especially in India. Now we're trying sort of to move that forward into Africa and the Americas. So good development here. Technology still includes KDS, our shoe machinery. You follow that we recently signed a deal to sell DESMA shoe machines, but still included here. So taking all that together, we have sort of narrowed down our management guidance for the remainder of this year, sales being between EUR 9 billion and EUR 9.5 billion, EBITDA between EUR 300 million and EUR 400 million. The pretax results narrowed down from minus EUR 100 million to 0 and a ROCE that is slightly higher year-on-year, so compared to last year. So that is how we overall look upon the year for the Salzgitter Group. Going further down a bit more into details, again, starting with the political framework we're looking at. Trade defense. There has been a lot of discussions on trade defense, especially in Brussels lately. The safeguard review is completed. I think that is good, however, not sufficient yet. Same goes for the safeguard successor instrument. There is a proposal upcoming now in Q3. The consultation of the industry, the wider industry is ongoing and the steel industry as such is invited -- or not only the steel industry, but we are also invited to contribute to the sort of data collection that EU is doing right now. So we expect then a proposal by Q3 of this year. And then we have and Melt&Pour, which is part of the consultation. So should Melt&Pour be integrated into the safeguards? From our perspective, absolutely, yes, in order to reduce circumvention options in the safeguards that we today see. And then also the last 2 points, which are more of a strict enforcement of existing TDI rules, both the threat of injury procedures as well as the lesser duty rule. Those are existing TDI rules that should be enforced in a stricter way. However, as we have seen from the past, difficult to implement. So let's see how that then plays out in practice. Carbon Border Adjustment Mechanism is something we're going to see as of '26. Details regarding the export solution will be expected in Q4 as well as the expanding of the scope and the measurements against circumventions. So all in Q4 '25. So heavy on that quarter and hence, a lot of focus from our end at Salzgitter, but the entire industry to get things right here and to also lobby the commission early on to get also an actionable set of rules for the CBAM. Last but not least, energy bureaucracy key markets. It's good to see that the Steel and Metals Action Plan includes those elements as well. Some of them are very known to us. If you take the label for CO2 intensity of products, this is covered through our less label, and we're now in discussions with the commission to integrate that into their view on the labeling. The lower grid fees is something that is discussed in Germany, should be included in the upcoming budget. And hence, we will see how that then plays out for us in terms of cost reduction as of '26. Then scrap export is a reciprocity element that EU is discussing there with other scrap exporting countries. And then the reform of that research fund is just making available EUR 1.5 billion that are still parked in that research fund and have not been sort of called off and make them usable for the transformation. So you see the Steel and Metals Action Plan has a lot of elements that will and can support the steel industry going forward and can also address some of the challenges that we have here as an industry and also, of course, as Salzgitter. So how do we then approach the entire situation? As you recall, we have this holistic approach where we look at both growth, but also performance initiatives and performance measures. Looking at the growth to start with, I will not go through all of them. I think the ones in bold are the ones that have changed since we talked to you through that last time. We have further increased partnerships around the green steel products, SALCOS, especially in the commercial vehicle side. We have closed further closed-loop agreements with OEMs, but also with the construction industry, first time that we have construction industry on that end. And we are also increasing our activities on the commercial recycling of slag, hence, making slag really a product -- or the different types of slag a product and a revenue stream out of that going forward. On the Steel Processing side, we have been very vocal about the approval from the German Bundeswehr for SECURE 500. Further approvals are expected in the second half of this year. They should come in slightly quicker than the first one given that we are basically setting -- or basing them on the existing approval. So we should be able to further perform here. Trading. Interesting to see that Middle East is interested in green steel and the international trading arm of our trading house is expanding the trades for green steel in the Middle East, both on material, but also third-party material. Same goes for scrap. Scrap becomes more and more relevant also on the trading side. Africa, Southeast Asia is here the key market. Heavy plate. There's high interest in heavy plate, high-quality heavy plate in and to Asia, interesting enough. Also, Asia is interested to import high-quality heavy plate from Germany, so supporting there. And on Technology, I talked you through Plasmax and the successes we have there. I'll not go further into that unless you have a question then later on in the Q&A. Now looking at the initiatives and performance measures. Let me start then with the portfolio. I talked about Desma, the shoe machinery. The sale is signed, has been signed last week with NMP. So the transfer is supposed to happen this year. So the closing is supposed to happen now in Q3. So next step in our portfolio management, so continuous work there. On the structure, we talked about the restructuring of the trading unit, and you have seen the numbers. So restructuring is progressing well. Social plan has been signed and is executed as we speak. We are reducing a triple-digit number of employees in the trading unit, and this is all going through quite smoothly, which I think is a success in the way we do restructuring in Salzgitter and here in particular. Same goes for the Steel Processing unit. Restructuring ongoing on the MPT, the Precision Tubes Group, which is, one, the closure of our Helmond site in the Netherlands, and we will sort of reshuffle the volume that has been processed in Helmond to other sites. And we're also talking here roughly 70 FTEs that will be reduced as well as further focus on the Mexican side, where we also are progressing well in order to get performance up here. So initial success on those restructuring measures. Now talking performance in the economic measures, I hand over to you, Birgit, to guide us through here.
Birgit Potrafki: Sure. Thank you, Gunnar. A warm welcome also from me to you out there. A pleasure to be here with you again today. So looking at performance, that is really a topic that is going quite well. As you know, as you are aware, we have expanded our performance program from the original Performance 2026 program to a new program or a large program Performance 2028. And by this, we doubled our ambition coming from EUR 250 million of cost savings to EUR 500 million of total cost savings until 2028. And this year, we have already realized EUR 48 million out of the target EUR 97 million. I will show you this in the next slide. That is our target for this year. So that is running precisely on track, which is really good. And as you have seen, we really need also these contributions. And next to the performance program, we are, of course, also focusing on cash measures, really tightly looking at investments, tightly looking at budgets and spendings, of course, and also tightly looking at our working capital management. And we will have a look at this also in the upcoming slides. So here some more details on our Performance Program '28. You find here again, on the right side, the EUR 48 million I have mentioned already, which we have realized in the first 6 months. You see right of that, the target of EUR 97 million. So we are here perfectly on line to realize this target. And we are very confident that we will be able to make it. And we are targeting for 2026 an even higher amount, and we are right now busy also clearing already about the measures for next year. Also good to see the EUR 48 million in the first half of the year are already 3/4 of what we have achieved last year for the total year. So really, you can see that we are really expanding here and that we are also able to deliver here. So coming to the KPIs. As Gunnar has said already, we did not expect a pickup of the economy in the first half of the year. And in addition, we are also facing quite some price pressure in the steel segment, and we also have the deconsolidation of the MST Group. And all this is summing up in our sales of EUR 4.665 million (sic) [ billion ], which is 11% below previous year. And if you take out the deconsolidation of the MST, it is 8% below previous year, and the main decrease is coming from the trade area here. And as a result, of course, EBITDA comes down. We realized EUR 116.8 million in the first 6 months. Our earnings include, as shown, the positive contributions from our cost saving program, from our restructuring activities, especially trade, and from a sustainably strong performing Technology segment and from our Aurubis shares. Gunnar has mentioned the more than EUR 70 million here as well. However, we had to digest EUR 80 million from the reporting date valuation of derivative positions. And in addition, we deferred EUR 10 million impairment risk from planned portfolio streamlining. This means the earnings from our business activities plus Aurubis were balanced. Our cash flow from operating activities was significantly stronger than last year. As you can see here, we reached EUR 81 million. And this was strongly supported by the reduction in working capital, the figure you can also find here, almost EUR 2.5 billion compared to EUR 3 billion 1 year before. And also quite good to see is our net financial debt, not as an absolute figure, but concerning the development, because it was a lot better than originally anticipated. And despite SALCOS investment, it was only slightly higher than 1 year ago. So what do we expect for the second half of the year? We expect that our financial debt will be around minus EUR 1.2 billion, which is significantly below our last prognosis we shared with you in our last meeting here, which was around minus EUR 1.5 billion. We expect only a very cautious economic recovery, and we expect also having a positive impact, reduced cost for raw materials, especially for those purchased in U.S. dollar. And we, of course, expect the other half of our Performance '28 cost-saving program, technology with a very strong fourth quarter and, of course, ongoing Aurubis contributions. All what we have discussed right now, we, of course, can also see here in our profit and loss statement. The sales decrease of minus EUR 578 million. And due to changes in finished goods and work in progress, a decrease in total in the operating performance of minus EUR 833.8 million. And we see here also nice almost 85% of the operating performance can be compensated by the material cost reduction of minus EUR 714 million. And the changes in other operating income and expenses are almost balanced. They are mainly influenced here by exchange rate impacts and by reduced administration costs as well. Looking at our balance sheet, our noncurrent assets increased mainly in the area of the intangible assets, property, plant and equipment, by EUR 51 million and also investments accounted for using the equity methods, this is mainly Aurubis, by EUR 53.6 million. Looking at our current assets, the inventories decreased nicely by more than EUR 220 million, whilst we see the upswing in the trade receivables compared to the year-end closing. Assets held for sale here are, as Gunnar has mentioned, our DESMA shoe machine entity. So we are putting this now into this line here with EUR 47.7 million. And you see that our cash was reduced by EUR 237 million for investing activities. Looking at the other side of the balance sheet, we see here a decrease in the equity. This is in line with the reduced earnings. So the equity reduced here by EUR 97 million. Looking at the noncurrent liabilities, we see here an overall increase by EUR 90.8 million. Whilst provisions for pensions decreased due to a higher interest rate by EUR 100 million, we see that the financial liabilities increased by EUR 168.7 million. Looking at current liabilities, we see an overall decrease by EUR 149.7 million, mainly driven by reduced financial liabilities of minus EUR 201.9 million, and also trade payables, which were reduced by EUR 122.8 million. And these 2 positions were partially compensated by other liabilities, which increased EUR 112.8 million. Looking at our cash flow statement, we started at the beginning of the year with around EUR 1 billion. And I have already presented to you the EUR 81 million cash from operating activities that we can add up here. And then we spent, for investing activities, EUR 243.5 million, and cash from financing cost us EUR 47.3 million. So we have cash and cash equivalents at the end of the first half of the year of EUR 765 million, which is better than 1 year before, and that amount is EUR 184.4 million. Working capital, you see here the quarterly development and the comparison compared to 1 year ago with a nice decrease of more than EUR 0.5 billion, down to around EUR 2.5 billion. And of course, here are reflected lower prices for raw materials and for steel products as well as our really strong focus on managing our working capital. Investments, you see that we have spent in the first half of this year, EUR 241 million. Our budget is also quite high for this year, however, a little lower than last year. And it looks like -- it may look like we will not be able to reach almost the level of last year. However, when we analyze last year, we see that the ratio between the first and the second half of the year were almost equal. So there is, for us, no need, due to the figure of the first half, to cut down on the total year's figure. And with this, I hand over to you, Gunnar.
Gunnar Groebler: Well, thank you very much, Birgit. Let me just quickly conclude here and then open up for your questions. So first half has been a difficult one. Recovery has, as expected, not happened, and we see perhaps slight recovery, at least when looking at steel price, as I've shown to you for the second half, but very limited. So it will remain a difficult year. We counter that difficult year with the holistic approach that we both presented to you and updated you on. Let me perhaps put it in 3 main messages. First of all, the cost and performance program continues rigorously. So we are focusing on really getting our performance stabilized and further improved as well as the cost level down, including working capital, as Birgit has shown to you. Secondly, we're continuing our decarbonization program. So SALCOS 1 is not in question. However, we do this in a practical and a reliable, in a rational way, embracing the outer world, embracing the current global and European market and regulatory developments. Hence, we make use of the modularity of SALCOS, which allows us to take investment decisions if and when market conditions and the overall framework conditions are right. So take the right decisions at the right time, I think, is the term here. So really making use of that modularity going forward. I think that's one of the very strong elements of the SALCOS program as such. And thirdly, a very clear message to policymakers, both in Berlin and in Brussels, that they define steel as a strategic industry for Europe, ensuring Europe's resilience. So if that is their case, and I think this is underpinned with both the Steel and Metals Action Plan as well as with the coalition agreement in Germany, then they also need to quickly create the environment in which the steel industry is able to proceed and to compete on equal terms with all our competitors around the globe. So making the level playing field reality is what policymakers have to do and have to do quickly in order to really sort of underpin their own view on the steel industry. So that is what policymakers have to do. But again, I would like to emphasize, we do what we need to do on our performance, on our cash management, on our cost management as well as on the investment and transformation activities going forward. With that, I'd like to close, and open up for questions. Thank you.
Markus Heidler: Thank you very much. We start with the first questions from Tristan, please.
Tristan Gresser: All right. Perfect. The first one, can you explain a little bit the EUR 80 million impact from derivative positions, where it's come from? Is that just in IP? Or is that also hitting other divisions? And also just a quick one on the trading division. I think you mentioned a positive one-off in Q2. So I mean, that was a strong performance. Should we expect trading to continue in this current earnings level into Q3, Q4? That's my first question, and then I have another.
Birgit Potrafki: Yes. Thank you, Tristan. So looking at our valuation of the derivatives and the minus EUR 80 million, we are doing, as most companies do, of course, the major hedging on the AG level, right, and not down in the divisions. And the major portion is coming from the overall hedging on the AG level, and we are doing this hedging activities here mainly because of our purchase of raw materials in U.S. dollars. But however, 1/3 of the derivatives is organized in the trading business, and that is very short term, because that is always in line with the deals trading is doing. So yes, let's put it this way, 2/3 are, for the overall company, mainly related to save the material cost and 1/3 of the EUR 80 million is related to trade. That was your first question. And the second question...
Gunnar Groebler: On trading, whether the performance were...
Birgit Potrafki: On trading, the performance. And thanks for putting that question to me, because I forgot to mention one thing when I showed the Performance '28 Program results and targets. And here, I have to underline that this is not including restructuring activities. We keep restructuring completely outside the Performance Program. So you have seen only a minor figure for trade, and you have to add a little more than EUR 6 million sustainable improvement in Trading coming from restructuring activities. And this is the start, and the contribution from restructuring will be increased over time even more. I hope I could answer your 2 questions, Tristan?
Tristan Gresser: Yes. So just a quick follow-up. The EUR 80 million negative valuation effect. So you're saying 1/3 is in trading?
Birgit Potrafki: Yes. roughly 1/3, yes.
Tristan Gresser: All right. And then my second question is not an easy question, but really -- sorry, what is holding back your steel production performance in Q2? I mean all peers we've looked at have shown improvement quarter-on-quarter and HRC went up to EUR 650 at some point. So you must have seen some positive FX. So is that an issue of mix? Is that an issue of cost? Is that something else? And also, when you look at your outlook for that division into Q3, Q4, can you discuss a little bit the trajectory in terms of shipments? I think you also mentioned lower raw material costs. So how should we think about the second half?
Gunnar Groebler: If I may, for the first half, looking at steel production, you might recall, we had operational issues with a fire in the mill. So that was certainly something that threw performance back. And secondly, also the major overhaul of the Blast Furnace C, where sort of production has come down. So I think those are effects that we have seen in the first half. We are certainly not planning for them in the second half. So performance-wise, we should be back on track for the second half of this year. Yes, I think that's how we look at our internal performance. When it comes to prices, price developments, I just mentioned that, Tristan. So we see a certain pickup on prices due to expectation of political developments, the Carbon Border Adjustment Mechanism kicking in, in '26, and first shipments -- or reduction of shipments given that the risk of being hit by the Carbon Border Adjustment Mechanism that drives prices slightly up and certainly something we want to also take part in.
Tristan Gresser: Okay. And just maybe a last one. Would you expect a big bounce in imports into September, October as distributors, buyers kind of try to move ahead of the CBAM and the safeguards? And is that a risk that you baked into your new guidance?
Gunnar Groebler: We don't see that as a risk abating in our guidance, no. We, of course, observe how especially traders from Asia are acting right now, but we don't see this as a risk to our guidance, no.
Markus Heidler: Next questions are coming from Boris Bourdet from Kepler.
Boris Bourdet: Perfect. A couple of questions. Maybe on trade policy. Can you share with us what the ideal scenario would be for you, what you have been asking when lobbying with the European Union and the German government? And what are the chances for your request to be successfully implemented? What do you expect the outcome to be basically? And a second question would be on disposals. You've made the sale of KDS. Where do you sit now in terms of further potential disposals, I think, of Aurubis' stake and KHS that has been remote to being discussed by the Board? And just to follow up on Tristan's question on the FX impact. Do you expect that FX impact to reverse at some point based on current prices you see on the market?
Gunnar Groebler: Yes. Boris, let me take the first 2 ones and then hand over to Birgit. So trade policy, what the ideal scenario would be, of course, is a clear acknowledgment that the inflow into Europe is unhealthy. We have seen a doubling of imports over the last 10 years. So ideal scenario would be that we get back to trade inflows as we have seen them in 2015, '16, which is a cut of 50% compared to today. So that is certainly what we lobby. The commission -- however, whether this is then something that the commission will follow, that is to be seen. I think the sentiment, the general political sentiment in Brussels is moving into our favor. However, let's see what the rules ultimately look like. So as I said in my conclusion statement, what we want is a level playing field to do business with our competitors -- with our customers like our competitors from outside Europe can do and at the same cost level that they can produce. And we see quite some disadvantages in Europe. Some of them are structural, and we can handle them with improved performance. Some of them are regulatory and they need to be conquered, and that's what we're asking for. On KDS, or further disposal, as we have said now since quite some time back, we have a much more active portfolio management going forward. So you should not expect KDS being the last portfolio company we are looking at in terms of portfolio management, but no news on Aurubis and KHS. As you have seen also presented by Birgit, KHS is delivering extraordinary results right now, very good results. We're very happy with the performance and the performance improvement that KHS has done over the last 3, 4 years and certainly something we are happy with as it stands. No further news on those 2 companies as of now. And with that, FX for you.
Birgit Potrafki: Yes, challenging topic. At the end of the quarter, the exchange rate, euros to U.S. dollar, listed at $1.08. And I guess we were all surprised about that development in the first months of the year. And then we thought that that's already quite impressive. However, at the end of the second quarter, the exchange rate climbed up to $1.18. So what is to be expected for the upcoming months? There are some banks and institutes who are rather conservative, having a prognosis of $1.10. And the majority, however, is expecting this rate to stay at $1.18. And some even think that over the course of the beginning of next year, it may even further deteriorate versus towards $1.20. So it's quite difficult to really predict what this will bring, what the future will bring here. However, as you may very well imagine, we are constantly adapting our hedging activities according to the actual rate and to what is going to be expected. So that's all I can tell you about the expectations concerning the exchange rate.
Boris Bourdet: Okay. So any move in the direction of $1.10 would be a positive on your H2 results, while any stability around the $1.18 or something would be something natural?
Birgit Potrafki: You're right. And you have seen the exchange rate at the end of June was $1.18. So exactly like you summarized it. Against the $1.18, there will be the deviations. And of course, don't forget also, of course, the volume, the hedged volume also has a major impact. That's also clear, yes.
Markus Heidler: Right. Then we move on to Bastian, please.
Bastian Synagowitz: So my first question is just following up briefly on the effect of the relining. Could you maybe just share with us how much in absolute numbers the relining has been impacting your numbers? You've already been carving out the, I guess, the EUR 80 million of FX, which I think was for the first half, right? So I guess the effect for the second quarter was probably a little bit smaller. But if you could give us the effect of the relining, that would be great. That's my first question.
Birgit Potrafki: What did you mean by relining, sorry?
Bastian Synagowitz: Maintenance.
Gunnar Groebler: I'm happy to Bastian, but what effect are you looking at? In terms of cost for the relining, or...
Bastian Synagowitz: Yes, exactly. I guess, basically, if you would more or less strip that out, how would the steel business have performed in the second quarter? I guess, usually, that can be anywhere between typically, I don't know, I would say, like EUR 10 million to EUR 70 million. I don't think it's been at the larger end. But yes, if you could give us maybe the overall impact on the earnings versus where you would have been if you wouldn't have had that effect.
Gunnar Groebler: What I can share with you is the CapEx, which is below EUR 10 million for all the work that has been done on C. We don't have the numbers at hand here sort of what that would mean in terms of if C would have performed as usually, Bastian. By the way, difficult to say because sort of there's a market element in there as well.
Bastian Synagowitz: Yes. Okay. Fair enough. No problem. Then just secondly, on the outlook. So I guess there's been a couple of, I would say, one-off items in the second quarter. Now if we strip those out, I guess, particularly the FX effect, let's assume that's just going to be flat. It's going to bring you pretty much close to, I guess, breakeven EBITDA. I think the underlying market doesn't really seem like it's going to improve, at least not in the third quarter, maybe not in the fourth quarter either. So what are the main drivers here? And do you need anything else other than FX for you to play out in your favor to hit your guidance run rate?
Birgit Potrafki: So let me take this question. I will start and Gunnar, of course, will add. So when I presented the KPIs, I gave a short outlook for the second half of the year. So first of all, FX, you're right, like if the exchange rate will not exceed $1.18 and also based on volume, the development will be accordingly. And what do we expect for the second half? Let me repeat. We expect only a very cautious economic recovery, reduced costs for materials, I have mentioned that we purchase and especially in U.S. dollars. And we expect technology with a strong fourth quarter, that's seasonally every year the case. And we expect good contributions from the Aurubis participation to be continued. So all these positive impacts and not an impact coming from the derivatives amounting again to EUR 80 million. All this led us to put out the guidance from minus EUR 100 million to 0, because before when we had the guidance open even up to plus EUR 100 million, we were expecting that the recovery of the economy would quick up a little bit more than we are seeing it right now.
Gunnar Groebler: Yes. And then also sort of some of the regulatory developments are kicking in later than expected. You might recall the discussion in Germany on the electricity prices, for example, and grid fees, they only now will kick in, in '26. Hence this will not help us in '25 as one of the examples, right?
Bastian Synagowitz: Okay. Understood. Great. And then just following up on the efficiency program. Of course, the EUR 500 million is a large number. It seems like basically having a bit more detail in terms of how you want to get to those numbers. What's the overall headcount and FTE reduction, which you're aiming for until 2028? Is there already a number to it?
Gunnar Groebler: Look, the way we look at this improvement program is that we want to improve our efficiency and the cost level as such. Of course, FTEs and FTE reduction is a part of it. And I mentioned the number for the restructuring of trading, which is a triple-digit FTE number. However, it's not that we just lay out a number and then see how we fulfill that number, but we're coming from a bottom-up approach. How can we further improve? We have set a target, a financial target, not an FTE target. Hence, there will be FTE reduction. Those we will discuss with works council and get to agreements, and then we will communicate those. But the overall target is to reach the EUR 500 million and not to reach a certain FTE target. So we are a bit different here in the approach compared to some of our competitors. However, I think, especially again, mentioning trading, the result is as such positive as we sort of get to the measures first, then define what is the FTE impact, then negotiate and then communicate.
Bastian Synagowitz: Okay. Understood. Great. Then a very last question just on the recent announcement with regards to your certification for defense grades. And I guess the shares reacted obviously quite strongly to that. So last quarter, you mentioned that you have established an internal task force for defense. Could you maybe share with us at least the broad corridor in absolute numbers or in percentage numbers on how much sales potential in defense you would see, say, in the next 3 to 5 years? So is this something which can really make a material financial difference for you?
Gunnar Groebler: Well, first of all, yes, the task force is up and running and is very successful in the discussions with potential customers. So we're sort of really picking up on the interaction with the defense space as such, given that we are sort of relative newcomers in that area. We had some activities with Universal, which is part of trading, however, limited. So this interaction has intensified a lot and is very positive. It is still very difficult and early days to really look at the overall potential that this new investment cycle in the defense industry will give. But let me try to put it in the other way around. We have a facility in Ilsenburg producing those plates. This is a capacity, if you take those plates, of roughly 150,000 tonnes a year. And ambition level should be that up to 50% of this capacity over time should be filled by defense products or by products that are like SECURE 500. So also from a margin perspective, alike. So that is what we see we should be able to contribute to the overall market. And then let's see sort of how successful we are with the ramp-up. But this is at least something we could envisage to target at for the upcoming years. Secondly, perhaps coming back to the task force, we will now sort of transform a task force which is more project-based into a more line organization to make sure that also sort of going forward, we will have the right interaction with our customers also on that level.
Markus Heidler: All right. Next question comes from Alain Gabriel.
Alain Gabriel: Just my question is on HKM. Do you have any latest updates over the last quarter or last few months based on your discussions with your JV partners? We read that your key JV partner has terminated their slab agreement as of 2030. How would that impact your business? That's one. And then two, you may need to inject some cash into HKM for restructuring or potential closure. Can you give us a range of outcomes of that investment in HKM?
Gunnar Groebler: Well, thank you, Alain. First of all, we are in constant discussions with both partners, Vallourec and thyssenkrupp Steel. By the way, thyssenkrupp has terminated the agreement and it will last until 2032, not 2030, but 2032. So they are obliged to offtake slabs from HKM until 2032, unless we jointly decide differently. As we have always said, we are exploring our options, and we will take a decision, an informed decision in Q3 how to move forward with HKM. There are different options. We can jointly come to an agreement to close HKM, and then we have different scenarios. So giving you cash figures on that is difficult, because it also will depend when closure will happen and how we will do that. I think it is fair to say it's going to be a triple-digit million number, total cash for a closure. If we would come to a view of further continuing HKM together with TKSE given that they are still partners in there, and also Vallourec also has a delivery or an offtake obligation in '28. Certainly, cash profile would be very different, potentially much lower. But then you also have to have an idea what to do with HKM afterwards. So this is exactly what we are analyzing, as we have said all the way through, and we will take decisions in Q3, but too early to say right now.
Alain Gabriel: And a follow-up on HKM. Are you able to share the P&L and the cash flow statement impact of HKM during the first half or the second quarter, so that we can see how the business is impacting your group?
Birgit Potrafki: So we do not consolidate HKM in our figures. The interlink between HKM and us are the transfer prices that we are paying for the slabs. So there is no like cash injection from our side beyond paying the bills for the slabs that are delivered to us, yes. And if at the end of the year, the costs are higher or lower than what has been in the bills to us, then there is an adjustment payment made. That is the way we are linking the 2 companies together.
Markus Heidler: Christian, then it's up to you.
Christian Obst: I have 3 questions, one on heavy plate again. So normally, strong customers are wind, pipeline industry and so on and so forth. So you mentioned it was very weak. Do you see any kind of comeback of orders there? Or do you expect some comeback of orders there? And where do you currently see the main weakness in the orders when it comes to heavy plate? This is the first question, and I'll take them one by one.
Gunnar Groebler: Okay. You're absolutely right. Wind industry, pipeline industry is a large offtaker of heavy plates plus the yellow goods. All 3 have been very sort of reluctant and are waiting for sort of how the overall economy is developing wind. You have seen that even auctions on the offshore wind side in Germany have been called off due to lack of interest. So that, of course, puts the wind industry or the offtake from wind industry further down. I think we're conquering -- trying to conquer that at least. You might have followed that as well that we are offering now green plates also for the wind industry, but it is a slow pickup that we see there, really waiting with the investments. Same goes for pipelines. The pipeline of projects when it comes to pipelines is quite filled. So there are a lot of projects out in the market. However, decision-making of those that are to be built or that want to build pipelines is relatively slow and hesitant. So also here, we see that the market in principle is there, but the decision-making for those projects is slow. Also, of course, given that some of the projects are U.S. projects, hence, they are waiting for sort of the whole trade conflict to settle at some point to make reasonable decisions there as well. And in the yellow goods, given that the construction industry as such has been weak also, of course, yellow good industry has been very hesitant to further invest, hence, also low demand there. Good to read at least this morning in the German Handelsblatt that the construction market and the sale of houses and rents are going up. That will certainly also then, over time, impact the construction market and the yellow goods market. But to be seen, Christian, to be seen.
Christian Obst: So this means when we take your description of the entire market currently is that any new order you are taking is on a very low margin. Is that right? And so there's some kind of a time lag before we see some kind of a margin recovery?
Gunnar Groebler: Well, the overall price level for heavy plate -- I mentioned that in my presentation, the overall price level is low, and that, of course, also hits us.
Christian Obst: Okay. Then on trading, the second half was, especially when it comes to overall sales, quite strong, on the same level like we have seen '24 almost. So can you give us some kind of an indication was that on volume or prices? Prices are not improving. So it should have been volume. And can we expect the same volume going forward, so that we will see maybe some kind of the same development like we have seen in the second half of '24 and the second half of '25 for the trading business?
Gunnar Groebler: Well, that is difficult to predict these days what the volumes will be. I think what you see, Christian, is, first of all, that our cost reduction program is really sort of hitting the ground, improving our cost position overall, also compared to the second half of -- that will be, of course, also compared to the second half of last year given that the major cost reduction program only started in Q1 this year, especially when it comes to the headcount reduction. And also, it will be important to understand and to see how the international trading will develop for the second half if the whole trade discussion settles. I think then also the confidence of our trading partners will increase and allow for more business on the international trading. Volumes and prices for domestic local trading, our so-called lagerhandel is still low.
Christian Obst: Okay. It's difficult to predict, of course. Going to net debt, you mentioned it will come in below EUR 1.5 billion. Is the sale of the shoe machines already included? Or would that give some kind of an additional tailwind for that? And so how far do you expect -- can it come down to EUR 1.2 billion, EUR 1.3 billion?
Birgit Potrafki: Yes. I mentioned the figures in the beginning of my talk, that is we expected around EUR 1.2 billion. And we have the DESMA shoe machines included in our cash forecast.
Christian Obst: Okay. And last question. So there is one DESMA company left, which makes no sense in this kind of portfolio. Do you also expect, if you are selling it, some kind of a positive impact or more on the negative side?
Gunnar Groebler: Well, first of all, there is no decision taken. And as I also mentioned towards Boris, we are reviewing the portfolio constantly. And yes, of course, we're also looking at KDE. But no decision taken. Hence, I can also not sort of properly answer your question. So we are not in a process. We don't have any price points and no decision taken here.
Christian Obst: Okay. Maybe one additional. Have you heard something else from your main investors so far after the AGM? So how are the talks ongoing with these guys?
Gunnar Groebler: Well, of course, we are in constant dialogue with our shareholders, including our 2 main shareholders, and we have very sort of constructive talks when it comes to the operational performance of the company and what to do and also the strategic further developments. So of course, we talk and we are sort of very intensively sort of discussing the future of this company jointly.
Christian Obst: And they are really supporting also the entire SALCOS way so far, I would suppose?
Gunnar Groebler: Absolutely. All shareholders that I talked with are fully supportive when it comes to SALCOS Phase 1 and implementing it as planned. And as I mentioned, I think the beauty of SALCOS is the modularity, and then we will take joint decisions when is the right time to then invest into SALCOS in the next SALCOS phase.
Markus Heidler: Thank you, Christian. Next question comes from Dominic O'Kane, please.
Dominic O'Kane: Just one other question on cash flow. The guidance that you've given on net debt is really helpful. At the end of Q1, you talked about EUR 800 million of CapEx for 2025. So are you still comfortable that EUR 800 million is the number? Or do you think there's some potential maybe downside given the run rate in H1? And then a similar question just on working capital. Could you just maybe help us with the bridge for working capital for Q3, Q4?
Birgit Potrafki: Okay. So first, CapEx, we have seen different -- if not different, similar spending behavior last year when it comes to CapEx. That the spending in the first half of the year was significantly under proportional. And then towards the second half of the year, we could still make it. Please keep in mind that especially our SALCOS investments are related to really big numbers. So that means if there is a shift like in one of these numbers, there could always be a bigger spillover to the next year. But that is only then a matter of time. That is not a matter of spending or not spending. And of course, our divisions and we ourselves, we are looking at all the other spendings as very careful, as I said. However, at this point in time, we think that we will still reach slightly above EUR 800 million in CapEx by the end of the year. And if not, we expect that it will be then, if the figure would be like remarkably, how to say, less, then it would be rather a spillover to the next year than a sustainable decrease. And the second question was?
Gunnar Groebler: Cash flow development, working capital.
Birgit Potrafki: Working capital. You were referring to slide number...
Dominic O'Kane: Working capital for Q3, Q4?
Birgit Potrafki: Yes, Markus, can we go back to the slide?
Markus Heidler: Yes.
Birgit Potrafki: Q3 and Q4, that is there. Yes, we have several impacts here, for sure, since it's also year-end closing, also devaluation or reevaluation of inventories, for example, and as well, of course, a tight working capital management and our ambition, especially in the inventory level, but also in accounts receivables always is to try to move towards the optimum, which you mainly achieve towards the end of the year, for the year-end closing. So we have managed by the second quarter of this year to be very close to the low year-end closing of the fourth quarter of last year. If your question also goes forward to the end of this year, then I can tell you that our ambition is to have further reductions from working capital management compared to the second quarter of this year.
Markus Heidler: So next question from Maxime, please.
Maxime Kogge: Good. So just one question left on my side. So it's a general question around tariffs. So there was a nonpaper initiative towards the commission from France, but supported by a majority of European states published last July asking for a series of measures providing for drastic cuts in import market share to just 15% for flat, even down to 5% for long products. And curiously enough, it was not supported by Germany. So why do you think Germany is standing against the measure, at least not supporting it? And don't you feel your major challenge is rather convincing the German government rather than the European Union to put in place better defense?
Gunnar Groebler: Well, first of all, we absolutely embrace the nonpaper that has been issued by France. And yes, there's a lot of support for that nonpaper from other European countries, which is good. Still it has not been adopted in Brussels. So we still have some work to be done there as well. However, your comment is right. Germany has not officially supported that nonpaper. However, there is a lot of support for elements of that paper also from the German government. It is more of a sort of formal and regulatory reason why they don't embrace the full nonpaper, but rather elements of it, which has to do with a different view on WTO rules than the French government has. So it is not that the German government does not support the content. They absolutely support the content. It is more -- at least this is sort of what I get to know from talking to policymakers in Berlin, it is rather the different view on WTO conformity and rules that brings the German government to not officially embrace that nonpaper in its totality.
Maxime Kogge: Okay. So you don't feel they are favoring the interests of downstream consumers such as carmakers rather than your interests and those of the steelmaking industry at large. This is not the...
Gunnar Groebler: Well, of course, as France, Germany has to balance the interests of different important industries and certainly, car manufacturing and all the industries around are an important industry for Germany. However, it is also notably new that even other industries like the [ pharma ] is now very clearly also supporting elements of what the nonpaper includes when it comes to tariffs and to import barriers for not only steel but also steel-intensive goods. So you see that there is also an industrial shift in Germany with a view on how to look upon the elements of the nonpaper.
Markus Heidler: Then what I see from here, the last question from Milos, please.
Unidentified Analyst: Just one question. What is the current level of committed unused credit lines? And what are their maturities?
Birgit Potrafki: Unused credit lines, I can tell you that our major credit line from our syndicated loan for the cash side as of today is undrawn.
Gunnar Groebler: And maturity?
Birgit Potrafki: Yes, the maturity of the syndicated loan is mid of 2029, and we are expecting the final banks these days to give us the feedback on the last prolongation until mid of 2030.
Unidentified Analyst: Just one follow-up question, please. What is the volume of the syndicated facility?
Birgit Potrafki: Altogether, it's slightly above EUR 1 billion. And cash-wise, because we have the advance side and we have the cash side, it's slightly below EUR 700 million.
Markus Heidler: Okay. If there are no further questions, then we'd like to thank you for your interest, for your participation. And okay, I see a question from Bastian, please.
Bastian Synagowitz: Just a quick one on the KHS Technology business. You've got a very strong order intake this quarter. Can you elaborate a little bit more? Is it one specific big order? Or it's like a broad improvement in the demand on the pipe?
Gunnar Groebler: Yes, so Bastian, what I can disclose here is it is predominantly on our Plasmax technology. So as I mentioned earlier in the call, Plasmax is really taking off. So we are able to convince our customers that Plasmax is a future technology for them. Hence, strong order intake on that technology.
Markus Heidler: Thank you for your participation. If there are any questions after the conference, please do not hesitate to call us. Otherwise, we'll talk to you in November at the latest, I would guess.
Gunnar Groebler: Yes. Thank you very much for your participation, for your questions, for your interest, and stay tuned on Salzgitter. Thank you.
Birgit Potrafki: Thank you. Bye.